Operator: Welcome to MasTec's Second Quarter 2016 Earnings Conference Call initially broadcasted on August 5, 2016. Let me remind participants that today's call is being recorded. At this time, I'd like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
J. Marc Lewis - Vice President-Investor Relations: Thanks, Noah, and good morning, everyone. Welcome to MasTec's second quarter conference call. The following statement is made regarding the Safe Harbor for forward-looking statements pursuant to the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain comments that are forward-looking such as statements regarding MasTec's future results, plans and anticipated trends in the industries where we operate. These forward-looking statements reflect the company's expectations on the day of the initial broadcast of this conference call and the company undertakes no obligation to update these expectations based on subsequent events or knowledge. Various risks, uncertainties, and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risk or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In today's remarks by management we will be discussing adjusted financial metrics as discussed and reconciled in yesterday's press release and supporting schedules. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measure not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings release on the Investor or News sections of our website located at mastec.com. With us today, we have José Mas, our CEO; and George Pita, our Executive Vice President and CFO. The format of the call will be opening remarks and analysis by José, followed by a financial review from George. These discussions will be followed by a Q&A period and we expect the call to last about 60 minutes. We have a lot of good things to talk about today. But I'd like to turn the call over to José. José?
José Ramón Mas - Chief Executive Officer & Director: Thanks, Marc. Good morning and welcome to MasTec's 2016 second quarter call. Today, I will be reviewing our second quarter results as well as providing my outlook for the markets we serve. Before getting started, I'd like to make some general comments around where we stand today. This quarter marked my ninth year as CEO of the company, and I'm really excited about how we're positioned and our future. We had a period of dramatic growth from 2007 to 2013. 2013 was actually a record year for earnings at MasTec followed by 2014 and 2015 where we faced both market and internal challenges. However, over the course of the last few quarters, we've been very vocal and confident about the opportunities available to the company and our ability to execute on them. While we were optimistic and we knew what those opportunities would mean for our business, we fully understood that we needed to execute and translate them into our financial results. Today, I believe our second quarter financial results begin to reflect the optimism and opportunities we were seeing then and continue to see today. Now, some second quarter highlights. Revenue for the quarter was $1.232 billion compared to $1.067 billion in last year's second quarter, a 16% organic increase. Adjusted EBITDA was $104 million compared to $71 million in last year's second quarter, a 47% increase. And adjusted diluted earnings per share was $0.36 compared to $0.10 in last year's second quarter. While we had a good second quarter, what I'm most excited about is our future and long-term prospects. We expect the second half of this year to be very strong with revenues growing 30% to approximately $2.8 billion and adjusted EBITDA growing 63% to about $282 million, both record levels for a six-month period. But more importantly, we continue to see a growing number of opportunities across our segments that further increase our future growth prospects. Our Communications business continues to outperform with strong growth across all areas and excellent long-term opportunities. Our Oil and Gas business is performing well with strong backlog and we expect that backlog to increase significantly in the coming quarters, and volume levels to be strong for multiple years. Our Renewable business is enjoying a higher level of opportunities than at any point I can remember and we expect our Transmission business to continue to improve. Again, we feel good about where we are in our business today and more importantly, where we're headed. It's important to note that there are still challenges in our marketplace. For example, commodity prices, the environment in Canada, and the delay of large transmission projects. But we outperformed in spite of these challenges. We expect each one of those challenged areas to improve over time and those improvements will have a positive incremental effect on MasTec. Now, I'd like to cover some industry specifics. Our Communications revenue for the quarter was $592 million versus $469 million last year, up 26%. The increase in revenues was driven by strong increases across all of our markets. Our wireline business was up 34%. Our installation business was up 38%. And our wireless business was up 15%. We expect this broad-based growth to continue. In our install-to-the-home market, demand for our installation services is strong. We continue to see strong demand related to our DIRECTV services and continue to enjoy growth from our diversification efforts. We believe we are the largest third-party independent fulfillment company in the United States and offer our customers broad geographic coverage. There is strong demand for our customer-touching workforce to help differentiate product offerings, and we believe we are well positioned to fill this demand in the marketplace. Wireline revenues for the quarter were up 34% year-over-year and we continue to see strong demand in everything from electric distribution to fiber rollout and expansion. Gigabit revenues and opportunities continue to expand and we are confident this will be a very healthy market for years to come. Our wireless business was up 15% year-over-year. We are bullish on the long-term opportunities the wireless market affords us. Data usage and demand is expected to continue to grow at exponential levels requiring our customers to increase their network's capacities. We're encouraged by the activities surrounding 5G and what it will mean for our business. While 5G will continue to develop over the coming years, we know that carriers are aggressively ramping up their small cell initiatives and densification will be a key component as 5G evolves. We're also excited about the continued development of fixed wireless. Just last week, Verizon described 5G as, in effect, wireless fiber, describing how wireless fiber can make the so-called last mile a virtual connection. These changes in technology should create opportunities for MasTec. And with the significant investment in advancements being made in wireline Internet speeds, it's only a matter of time before customers demand and carriers replicate those speeds in the wireless environment. Moving to our power generation and industrial segment, revenue was $120 million for the quarter versus $103 million in the prior year. We look forward to building on what was a much improved year than 2015. We are currently participating in a significant number of opportunities that are larger and broader than what we've previously experienced. With long-term tax credits in place, a number of our customers are committing to longer multi-year plans creating new types of opportunities for us which are more consistent and larger than we've previously experienced. Revenue in our Electrical Transmission business was $96 million versus $78 million in last year's second quarter. While we saw some improvement, a significant portion of our revenues generated no profits as we discussed on our last call. As we continue to work those projects off, our remaining business is performing at much better levels, and we expect continued improvements through the balance of the year. We've worked hard at right sizing our business, and I'm confident we're well on our way to begin making this a positive contributor to MasTech as we work to get it back to historical levels. As we announced on our previous call, during the quarter, we began construction on a 70-mile 765 kV project that we expect to complete in early 2018. We expect the industry fundamentals to continue to improve through the balance of the year as demand begins to eat away at current industry capacity. Our Oil and Gas pipeline segment had revenues of $426 million for the second quarter compared to revenues of $411 million in last year's second quarter. As expected, we experienced a significant decline in Canadian revenues offset by a 32% increase in oil and gas revenues in the U.S. For the second half of the year, we're expecting U.S. pipeline revenues to more than double last year's levels, offset in part by continued declines in Canada. Overall, second half growth in our pipeline business should exceed 60% from last year's levels. While Canadian revenues were down sharply year-over-year, margins were positive and a significant improvement sequentially from the first quarter. All of our backlog major projects are currently underway with the last major permit being received after quarter end. We expect the majority of our current backlog to be worked off in 2016 with the balance burning off in 2017. In addition to our current backlog, we have been awarded a significant amount of work on which we are finalizing contracts, and these projects are not included in backlog. Last quarter, we said we expect year-end backlog to exceed first quarter levels. We're well on our way to achieving that and we expect record levels of pipeline backlog by year-end. I continue to be surprised by the level of visibility in this segment for years to come. We're in great shape relative to backlog in 2016. We believe 2017 is going to be even better and our visibility for 2018 is solid. We're even in discussions on projects extending to 2019, which, for us, is unprecedented. This level of activity is offsetting the weakness in the shales due to commodity prices and giving contractors ample time, years we believe, for commodity prices to rebound. It's important to note that we expect many contractors that don't have exposure to these larger jobs to struggle over the next couple of years creating further opportunities as commodity prices rebound and shale activities start to ramp in both the U.S. and Canada. We're actively focused on Mexico as a growth market and we're pursuing a number of large opportunities. We believe this market has significant potential for us over the coming years. To recap, we had a very solid quarter, more importantly, we're well-positioned for the balance of 2016 and the years to come. Our markets are affording us great opportunities for growth and we're executing on those opportunities. I'd also like to note that we ended the second quarter with over 20,000 team members for the first time in our history, an increase of over 3,500 team members from the first quarter. I'd like to take this opportunity to thank those men and women of MasTec for their commitment to safety, their hard work and their sacrifices. Our people are our most important asset, and it's because of them and the opportunities that they've created that I'm so bullish about our future. I'll now turn the call over to George for our financial review. George?
George L. Pita - Chief Financial Officer & Executive Vice President: Thanks, José, and good morning, everyone. Today, I'm going to cover second quarter 2016 financial results including cash flow, liquidity and capital structure, as well as our third quarter and full year 2016 guidance updates. As Marc indicated at the beginning of our call, our discussion of our financial results and guidance will include non-GAAP adjusted earnings and adjusted EBITDA. Reconciliations and details of all non-GAAP measures can be found in our press release, on our website or in our SEC filings. Consistent with our prior call, when addressing our second quarter 2016 performance, second quarter 2016 adjusted results exclude the impact of approximately $5 million pre-tax or approximately $3 million after-tax of restructuring cost in our Western Canadian oil and gas, and electrical transmission operations. Restructuring cost consist primarily of employee separation costs, lease terminations, and estimated losses for disposal of excess equipment. We currently expect to incur additional restructuring cost of approximately $3 million pre-tax in the back half of 2016 as part of the expected completion of initiatives to rightsize these operations and improve future performance. Here's some analytical highlights regarding second quarter 2016 performance. Second quarter 2016 revenue was $1.23 billion, which approximated the upper end of our second quarter 2016 expectations. Accordingly, our current full-year 2016 revenue guidance has been increased to the upper end of our previous expectations at approximately $5 billion. Second quarter 2016 adjusted EBITDA was approximately $104 million, well above our guidance range of $80 million to $95 million and this was primarily driven by better-than-expected oil and gas segment results. Second quarter 2106 adjusted diluted earnings per share were $0.36, significantly above the guidance range of $0.17 to $0.27 per share. As a result of our strong second quarter performance, we have increased our annual adjusted EBITDA and adjusted diluted earnings per share guidance to approximately $440 million and $1.57 per share respectively. As we have previously indicated, during the second half of 2016, we expect significant revenue, adjusted EBITDA, and adjusted diluted earnings per share growth, primarily due to the impact of a full ramp up on several large oil and gas projects. We believe our second half 2016 guidance estimate appropriately captures these trends. We ended the second quarter of 2016 with ample liquidity, improved leverage ratios, and excellent working capital metrics. We continue to anticipate that the combination of projected a strong second half 2016 earnings performance and continued management of working capital will generate significant leverage ratio metrics improvement by yearend 2016, and our current capital structure is well positioned to take advantage of the significant growth opportunities afforded us in the various markets we serve. Now, let me get into some more detail regarding our second quarter 2016 results. Second quarter 2016 revenue was $1.23 billion, an increase of approximately $166 million or 16% compared to the same period last year. Second quarter 2016 adjusted EBITDA was approximately $104 million, an increase of approximately $33 million or 47% compared to the same period last year. Second quarter adjusted EBITDA margin was 8.5%, a 180-basis-point improvement when compared to the same period last year. The majority of our second quarter revenue growth was driven by our communications segment where revenue increased $123 million or 26% compared to the same period last year with strong double-digit revenue increases across all of our segment operations, install to home services, wireless, and wireline project services. Communications segment adjusted EBITDA margin was 11.2% of revenue, an 80-basis-point improvement compared to 10.4% during the second quarter last year. Oil and gas segment revenue increased approximately $15 million or 4% compared to the same period last year to approximately $426 million. As expected, sequential revenue levels in the oil and gas segment increased significantly due to multiple large project start-ups during the quarter and we expect significant revenue growth expansion over the back half of 2016 with second half 2016 year-over-year revenue growth rates in the low- to mid-60% range. Second quarter 2016 oil and gas segment adjusted EBITDA margin was 13.3% of revenue due to the combination of improved project productivity and utilization. Given the early stages of a large project activity to be executed during the second half of 2016, we believe that the second half oil and gas segment 2016 adjusted EBITDA margin assumed in our guidance is conservatively planned at approximately 12% of revenue. Importantly, during the second quarter of 2016, we saw substantial sequential improvement in our electrical transmission adjusted EBITDA results from a first quarter loss of approximately $23 million to a second quarter loss of approximately $8 million. Second quarter 2016 revenue for the electrical transmission segment was approximately $96 million. But as expected a significant portion of the segments revenue generated no project profit margin as we work to complete a previously disclosed large transmission project. We expect that during the second half of 2016, a smaller portion of the electrical transmission segments' revenue will come from this previously disclosed large transmission project and a greater percentage of second half 2016 electrical transmission segment revenue will be generated from new projects with project profit. This effect, coupled with the restructuring efforts underway in the segment is expected to generate continued sequential improvement in electrical transmission segment's performance over the second half of 2016. Our power generation and industrial segment increased revenue 16% from last year to $120 million with an adjusted EBITDA margin of 4%. During the second quarter of 2016, this segment's results were negatively impacted by some project inefficiencies as to which recovery efforts are underway, as well as by amounts invested in business development initiatives. Our second quarter 2016 corporate segment adjusted EBITDA costs were approximately $16 million or 1.3% of consolidated revenue. This revenue was higher than our first quarter 2016 trend primarily due to increased cost to support planned growth initiatives and the timing of legal costs and settlements, professional fees, and incentive compensation expense. Our corporate segment's adjusted EBITDA cost for the first half of 2016 approximated 1.1% of consolidated revenue, and we expect this rate will decline during the second half of 2016 primarily due to the leverage benefit of the expected significant increase in second half 2016 revenue levels. To recap, these factors led to a strong second quarter 2016 performance with revenue increasing approximately 16% over the same period last year to $1.23 billion, and adjusted EBITDA increasing 47% over the same period last year to approximately $104 million. Our top 10 largest customers for the second quarter of 2016 as a percentage of revenue were: AT&T revenue derived from wireless and wireline services was approximately 20% and installed-to-home satellite and security services were approximately 16%. On a combined basis, these four separate service offerings totaled 36% of our total revenue. It is important to note that all of these offerings while falling under the AT&T corporate umbrella are managed and budgeted independently within that organization, giving us diversification within that corporate universe. Energy Transfer affiliates was 22% of revenue with approximately half of this revenue driven by the second quarter initiation of construction activities on the Dakota Access Pipeline project. Duke Energy and pipeline construction activities related to our Waha joint venture were each at 4%, Iberdrola was 3%, MidAmerican Energy and an unnamed fiber customer were each approximately 2% and AGL Resources, Northern States Power and Verizon were each approximately 1% of quarterly revenue. Individual construction projects comprised 55% of our second quarter 2016 revenue with master service agreements comprising the remaining 45% and this makes it generally consistent with recent trends. At quarter end, our 18-month backlog increased $1.2 billion to approximately $5.3 billion compared to approximately $4.1 billion in the second quarter of 2015. This represents an approximately 31% increase in backlog over the quarter end period last year due to the combination of significant market strength and large long haul oil and gas pipeline contract work coupled with increases in communication and electrical transmission. Regarding other areas of the income statement below the EBITDA line, second quarter 2016 depreciation and amortization expense was approximately $41 million or 3.3% of revenue compared to 4.1% of revenue for the same period last year. Interest expense for the second quarter was $12.6 million or 1% of revenue, compared to 1.2% of revenue for the same period last year. And both of these year-over-year rate improvements are primarily due to the leverage effect of increased second quarter 2016 revenue. We expect 2016 annual interest expense levels will approximate $52 million or 1% of annual revenue and expect 2016 annual depreciation and amortization to approximate $169 million or 3.4% of annual revenue. Finally, second quarter 2016 adjusted diluted earnings were $0.36 per share, well above the same period last year of $0.10 per share. And our initial second quarter guidance expectation of $0.17 to $0.27 per share. Now, I will cover our cash flow, liquidity, and capital structure. As we have previously noted, our long-term capital structure is solid, with low interest rates and no significant near-term maturities. And we have an excellent and supportive bank group. We entered the third quarter with ample liquidity of approximately $363 million, improved leverage ratio metrics, and excellent working capital metrics. As I indicated last quarter, despite expected increased levels of working capital investment during 2016, associated with forecasted significant revenue expansion, we expect that our full-year 2016 operations will generate excess cash for either debt reduction or share repurchases, as market conditions warrant. Additionally, anticipated 2016 earnings should generate a significant improvement in our year-end 2016 leverage ratio metrics when compared to year-end 2015. Our second quarter 2016 accounts receivable day sales outstanding or DSOs were 71 days compared to 74 days for the first quarter of 2016, and 86 days for the second quarter of last year. Our working capital metrics are in excellent shape and slightly better than our previously indicated expectation range for DSOs somewhere between the mid- to high-70s. Regarding our spending on capital equipment, second quarter 2016 cash CapEx net of disposals was approximately $54 million. We anticipate that 2016 cash CapEx levels net of disposals will approximate $80 million to $90 million. Moving on to our 2016 full year guidance. We are currently projecting annual revenue approximating $5 billion with adjusted EBITDA approximating $440 million or 8.8% of annual revenue, and adjusted diluted earnings per share approximating $1.57. This guidance increase incorporates the impact of our second quarter 2016 results and reflects the expectation of significant revenue and adjusted EBITDA growth in the back half of 2016. Taking into account our first half 2016 actual results, our annual guidance indicates that second half 2016 revenue levels are expected to approximate $2.8 billion of revenue with adjusted EBITDA approximating $282 million or 10.1% of revenue. We believe this guidance expectation appropriately captures the current trends in our business of significant expansion of long-haul pipeline activity. Now, as a reminder, we experienced similar business trends in 2013 and we generated almost $260 million in adjusted EBITDA during the back half of that year. We anticipate our 2016 annual GAAP income tax rate will approximate 41.9% and our 2016 annual tax rate applied to our adjusted net income results will approximate 41.3%, with this slight difference due to the impact of fixed permanent book tax differences on higher estimated 2016 adjusted net income. Lastly, our estimate for the full-year share count for diluted earnings per share is about 81.5 million shares for the third quarter of 2016, 82 million shares for the fourth quarter of 2016 and 81.5 million shares for the full-year 2016 period. Turning to our third quarter 2016 guidance, we currently estimate that third quarter 2016 revenue will approximate $1.5 billion which represents a year-over-year revenue growth of approximately 35%. Third quarter adjusted EBITDA is expected to approximate $155 million or 10.3% of revenue, and this represents approximately a 70% increase when compared to the third quarter of 2015. Lastly, adjusted diluted earnings per share is estimated to approximate $0.69 per share compared to $0.26 per share during the third quarter of 2015, an increase of approximately 165%. In summary, second quarter 2016 results were significantly above our initial expectations and we continue to expect significant revenue and earnings improvement throughout the balance of 2016 as we execute on multiple large projects. We also see increasing visibility with regard to growth opportunities for 2017 and beyond, and believe we are well-positioned to take advantage of these opportunities. That concludes our prepared remarks. And now, I'll turn the call back to the operator for Q&A. Operator?
Operator: Thank you. Please limit yourself to one question and one follow-up. And we'll take our first question from Matt Duncan with Stephens.
Matt Duncan - Stephens, Inc.: Hey, good morning, guys. Congrats on a really great quarter.
José Ramón Mas - Chief Executive Officer & Director: Thank you, Matt. Good morning.
Matt Duncan - Stephens, Inc.: So, José, I want to start by talking about the Communications segment. You guys are seeing very broad-based strength there and I'm curious if you can give us some help sort of thinking through what level of growth we should expect that business to maintain here going forward. The comp is going to be a little bit harder in the third quarter, but it sounds like you're expecting all of these end markets to stay very good this year certainly and it sounds like into next year as well. So, just talk about what you're seeing in that market some?
José Ramón Mas - Chief Executive Officer & Director: I think we're surprised with, I think the broad-based growth – every one of our submarkets within that group is doing really, really well. We expect it to continue. We expect strong growth in the second half of the year across all those sectors. We do expect a little bit of slowdown in that growth. If we would have been talking six months ago, we probably wouldn't have expected that amount of growth in the first half of the year. So, I think, as we look at the second half, we see that growth moderating, but we still see strong double-digit growth for the back half of the year consistently between the third and fourth quarter.
Matt Duncan - Stephens, Inc.: Okay. That helps. And then, second question, just moving on to the Oil and Gas business. You had a really great margin there this quarter. I guess the guide is that it's going to be a little bit lower. And, first of all, how much conservatism is baked into that? And then, secondly, as we look at the bidding environment, you mentioned that you've got, it sounds like a lot of stuff in-hand where you just don't have a signed contract yet, still expecting year-end backlog to be above the first quarter level. I don't know if you can size for us, maybe how much above, how large are the opportunities that you're working on. Last year, I think, you gave us an amount that you expected to book by year-end. I don't know if you're in a position to be able to do that again now, but just any kind of help there framing up the opportunity would be useful. Thank you.
José Ramón Mas - Chief Executive Officer & Director: Sure. So, the first part of the question was on margins as it related to our Oil and Gas segment?
Matt Duncan - Stephens, Inc.: Yeah.
José Ramón Mas - Chief Executive Officer & Director: As we look at the first half of the year, we obviously had a lot of projects that we were working on, some of which we completed, some which we're still working on. We had a nice mix of work. We did very well on the work we were working on. A lot of the work that we're doing in the second half of the year is actually on newer projects that we're much earlier in the cycle on. And I think, when you look at our guidance, we're kind of looking at it the way we did from the beginning of the year. We're executing better or we executed better in the first half of the year than we were expecting. To be honest, we fully expect to continue to execute at those levels in the second half. But, I think, it's still too early for us to make those commitments. So, we've tempered our expectations in the second half at the 12%. Again, if we continue to perform at the levels we're currently performing at, we should do better and, hopefully, a lot better. The second part of your question, which was on the backlog related to Oil and Gas, last year, we talked about where we'd end the year. We ended the year with over $2 billion worth of backlog which is, I think, what we were really trying to anticipate and guide the market to late in 2015. I think our commentary this year is no different, right? We expect to finish the year with record levels of backlog, which mean we're going to exceed those levels in 2015. I'm really excited about it. I think there's tons of opportunities. We don't want to give a specific number, but we're in great shape. 2017 is going to be a great year, and we're really excited.
Matt Duncan - Stephens, Inc.: Okay. Great. Thanks, again, and congrats on a great quarter.
José Ramón Mas - Chief Executive Officer & Director: Thank you, Matt.
Operator: We'll take our next question from Jason Wrangler with Wunderlich.
Jason A. Wangler - Wunderlich Securities, Inc.: Good morning, José.
José Ramón Mas - Chief Executive Officer & Director: Good morning.
Jason A. Wangler - Wunderlich Securities, Inc.: I wanted to ask on the electrical transmission side. It really saw a lot better on the EBITDA line there just sequentially even without a lot more revenue gains. You kind of talked about it in your comments that kind of getting some old projects out. But if we looked at that revenue type run, can you get back to certainly breakeven or maybe even profitability if you stay in that $90-ish million type revenues as you kind of get the old projects out?
José Ramón Mas - Chief Executive Officer & Director: Well, we've talked about getting to the level of, obviously, breakeven and profitability through year-end. I think we were pretty vocal about that on our first quarter call. We definitely expect improvements both in the third and fourth quarter. We think we're on the right track and we're going to get there. We do expect revenues to drop a little bit from current levels. Again, a lot of this work that we're burning off is non-profitable work or work that we're doing at breakeven margins. So, the mix is going to really help us, but we do expect revenues to drop a little bit in the second half of the year versus the first half.
Jason A. Wangler - Wunderlich Securities, Inc.: Okay. That's helpful. Thank you. And then, just on the Oil and Gas side. Again, you've given some pretty good color. But on top of what you kind of said you have possibly in hand soon, are you seeing any delays out there in terms of folks pushing back projects or anything on the margin? I think we're kind of hearing about that a little bit whether it's regulatory or otherwise. Just kind of maybe your thoughts on the outlook in that region outside of what you kind of already have in hand?
José Ramón Mas - Chief Executive Officer & Director: Sure. When we look at the market as a whole, we had very good indications as to what projects we would be working on and when and, I think, that's playing out. There's, obviously, and we keep saying it. And I know there's a lot of hesitancy out there and, I think, time is going to make people believers. But there's so much work. There's so much visibility. There's such a high level of activity. And we fully expect projects to move, right? Some projects are going to come in. Some projects are going to get pushed out. We've been very fortunate that our projects have stayed steady. We haven't seen delays in the projects that we're working on or expect to work on. There have been other delays in the market that's creating, in my mind, opportunities for us because, I think, some of those projects are going to get pushed out into 2019 and 2020 which, I think, is going to be good for the overall marketplace. But we've said it and I'm going to say it again, there is so much work in the market that everybody that's involved in this industry, everybody that's involved in this type of work should have a phenomenal next couple of years. And, I think, the next couple of years is multiple years, which is incredible visibility than what we've historically been used to. And, I think, all of us that are in this space are going to enjoy that and benefit from that.
Jason A. Wangler - Wunderlich Securities, Inc.: Great. Thank you. I'll turn it back.
José Ramón Mas - Chief Executive Officer & Director: Thank you.
Operator: We'll take our next question from Matt Tucker with KeyBanc.
Matt Tucker - KeyBanc Capital Markets, Inc.: Good morning. Congrats on the quarter.
José Ramón Mas - Chief Executive Officer & Director: Thanks, Matt. Good morning.
Matt Tucker - KeyBanc Capital Markets, Inc.: It seems like for the second half, clearly, execution on Dakota Access is going to be pretty key. Could you just talk about the execution risks there? And are there any kind of project-specific risks we should be thinking about that aren't basically typical to every pipeline project? And do you feel like you've built in enough contingency in your guidance for the risk that you see there?
José Ramón Mas - Chief Executive Officer & Director: Sure. We've got a couple months under our belt so far on the project it did receive its last major permit after quarter-end. But as George stated, about half of our Energy Transfer revenues or just above half of our Energy Transfer levels came from that job. So, I think, we're – I think we've got a great feel for how that project is going to go and where we're at. It's obviously a big project for us. There's a lot of work to do. The devil is in the details. And, obviously, execution is important but we feel great about it right now.
Matt Tucker - KeyBanc Capital Markets, Inc.: Great. Thanks, José. And then, it sounds like the outlook for oil and gas in the U.S. is very strong. I was hoping you could expand a little bit on what you're seeing in Mexico, in Canada. In Mexico, the type of opportunities that you're seeing and then, Canada sounds like it's a pretty tough market still though you're doing okay. But do you see any opportunities for that market to start improving?
José Ramón Mas - Chief Executive Officer & Director: We're big believers in Canada. Obviously, commodity prices need to continue to improve and uptick. We saw an improvement, obviously, during the quarter in the commodity price. We actually saw an uptick in activity related to that increase. I know that it dropped back down a little bit. So, I think, it's a market that's highly sensitive to commodity prices. One of the things that I really feel privileged about is we're in great shape for the next couple of years. And when commodity prices do rebound, it's going to have a significant impact especially on Canada. And, I think, we're going to be in a great position to allow that to incrementally help us. It's a tough market today. I think a lot of our competitors are suffering. I think we're going to see a lot of the smaller competitors go by the wayside, which is going to make – create further opportunities for us as that market comes back. So, we would love that market to be doing well. Obviously, we would love all of our markets to be doing well all the time. But considering what's going on, considering our book of business, we're in a privileged position. And when Canada comes back, we think it's going to be incrementally better for us. Even from historical levels, we think, we'll be able to pick up a bigger share of that market. As it relates to Mexico, again, we're extremely bullish. The commodity prices has also impacted Mexico. Pemex which – and there's a lot written on it, Pemex, originally, we were expecting to do a lot of work direct for Pemex. Pemex is entering into a lot of public private partnerships, selling off assets and development projects. So, the market there changed as we were – I'd say in pretty late stages of negotiations on some stuff. We're still really bullish. We think it's going to be – our customers will probably not end up being a government agency like Pemex but rather, private guys. And we're in discussion on a bunch of projects. And we feel good about it. We think one of them is going to hit soon. And over the next couple of years, it's going to be a meaningful part of our business.
Matt Tucker - KeyBanc Capital Markets, Inc.: Thanks José. I'll turn it over.
José Ramón Mas - Chief Executive Officer & Director: Thanks, Matt.
Operator: We'll take our next question from John Rogers with D. A. Davidson.
John Bergstrom Rogers - D. A. Davidson & Co.: Hi. Good morning and congratulations as well.
José Ramón Mas - Chief Executive Officer & Director: Good morning, John. Thank you.
John Bergstrom Rogers - D. A. Davidson & Co.: One thing, José, great quarter. But the dip that you're forecasting into the fourth quarter just in terms of revenue, is that just a function of seasonality or project mix?
José Ramón Mas - Chief Executive Officer & Director: Look, we've got a big second half to accomplish.
John Bergstrom Rogers - D. A. Davidson & Co.: Yeah. Or just conservatism. I mean, I guess...
José Ramón Mas - Chief Executive Officer & Director: Look, I think it's a mix of everything. We're pretty happy with the level for the second half of the year, right at north of $280 million of EBITDA, $2.8 billion in revenue. Is there opportunity for improvement on that? We've talked about it, right? I think we're taking a conservative view on margins in the pipeline space in the second half of the year. We would hope to beat that. Our communication margins were solid in Q2. But, I think, it's important. We added 3,500 people in the quarter. And when you add that many people, they're not as efficient and as productive as you'd want them to be initially. And, I think, as time – as they stick a little bit and work on the job longer, we're going to see efficiencies in that across all of our businesses. You never know what happens in weather in the fourth quarter. So, it's a conservative view. It's a solid view. Some of the backlog that we're going to add to oil and gas has the potential for starting in the fourth quarter. We have not included that in our guidance. But quite frankly, if that starts, that's obviously going to be additive to everything that we're talking about today.
John Bergstrom Rogers - D. A. Davidson & Co.: Okay. And then, just on the renewables, your comments there. Is this a market opportunity in 2017, 2018 and I assume it's both on the power side and transmission?
José Ramón Mas - Chief Executive Officer & Director: No. When we talked about power gen, it was more for our renewable business so, no. So what we're seeing in renewables is customers are making longer term commitments. For the first time since we've really been in this business, we've got a long-term tax credit in place. I think our customers are viewing that very favorably. I think people are thinking out in much more in terms of just a one year, the next tax credit extension, which has really been the environment that we've been in since 2008. So, it's different. It's a change. We've got, the subset of opportunities is pretty large relative to where we've – anything we've seen historically. And I feel really good about the opportunities in that market for the first time, in a long time.
John Bergstrom Rogers - D. A. Davidson & Co.: Okay. Great. I'll get back in queue. Thanks.
José Ramón Mas - Chief Executive Officer & Director: Thanks, John.
Operator: We'll take our next question from Alex Rygiel with FBR.
Alex J. Rygiel - FBR Capital Markets & Co.: Good morning. Great quarter, José.
José Ramón Mas - Chief Executive Officer & Director: Hey. Good morning, Alex.
Alex J. Rygiel - FBR Capital Markets & Co.: I can't remember the last time I saw your stock up almost 20% on a print. So, congrats on that.
José Ramón Mas - Chief Executive Officer & Director: I haven't seen it yet. So, I'm glad to hear that.
Alex J. Rygiel - FBR Capital Markets & Co.: It's trading well. Two quick questions. First, you've talked a lot about in your Oil and Gas segment, your bidding pipeline being very strong and winning a lot of significant amount of work subsequent to the end of the quarter. What is keeping you from including these in backlog at this time?
José Ramón Mas - Chief Executive Officer & Director: We only include things in backlog when we have a fully signed executed contract.
George L. Pita - Chief Financial Officer & Executive Vice President: I mean, Alex, we only include things that are signed as of quarter-end, right? So, anything that's happening in Q3, we'll transact and finalize during Q3. Obviously we have clear visibility on a number of projects that we've talked about that are going to give us a strong bookings performance in the second half of the year. But as our practice has always been, and we're consistent with it, we don't book – we don't record things in backlog unless they are fully signed and executed by, at the end of the quarter.
José Ramón Mas - Chief Executive Officer & Director: Alex, you there?
Operator: Mr. Rygiel, your line is still open. You may want to de-press your mute function. Once again, Mr. Rygiel, your line is open. You may want to de-press your mute function. With no response, we'll move to our next question. We'll take our next question from William Bremer with Maxim Group.
William Bremer - Maxim Group LLC: Good morning, gentlemen. Extremely very, very nice quarter. Congrats.
José Ramón Mas - Chief Executive Officer & Director: Thank you. Good morning, Bill.
William Bremer - Maxim Group LLC: Especially after a tough 2015. So, my first question really geared – is going right back to Oil and Gas. Can you give us a little more color, a little more granularity of the size of these pipelines? I'm assuming most of them are on the nat gas side. And should we expect an increase in CapEx being deployed to that sector, that segment?
José Ramón Mas - Chief Executive Officer & Director: Sure. So, obviously, the projects are very large in size. That's what we've been talking about over the course of the last year. So, again, we're fortunate in that we're seeing some very, very large projects that we expect to be executed in 2017, 2018, 2019. I think that's going to drive the business. So, as we sign contracts and we're ready to talk more specific about contracts, we'll probably give you some more color, but not until then. As it relates to CapEx, look, I think, one of the really surprising things for us has been our CapEx levels this year. We geared up over the course of the last 18 months. We peaked in CapEx, I think, at the end of 2014. We've been able to moderate our CapEx. Our CapEx is pretty much in line for 2016. I think it's probably even below what we originally expected. And we're able to execute on the work that we've got at those levels. So, I don't expect to see changes in our CapEx levels despite the amount of work that we expect to win and execute on.
William Bremer - Maxim Group LLC: Okay, José. My follow-up is in communications, specifically with your two top customers, AT&T, DIRECTV. Now that the merger is finalized, what has been the commentary between you and them in terms of additional CapEx? We're starting to see it in the numbers today but can you give us a little more granularity in terms of what their thinking is and how that affects you guys?
José Ramón Mas - Chief Executive Officer & Director: I think they're doing very well with the business. I think, obviously, it was a big transaction. There was some uncertainty going into that transaction in terms of what it would ultimately mean for us. Obviously, the business is growing at levels that we haven't seen in six, seven, eight years. So, it's exciting. We're adding a lot of bodies there. And with that said, I think the whole market is evolving, right? I think fixed wireless is real. I think it's going to be a big part of our business that's going to touch multiple aspects of our business. I think it's going to touch our wireless business because a lot of that is going to be on large towers. And then it's going to affect our installation business because there's going to be a portion of that business that requires some sort of installation at a home or a business. So, I think, it's great. It's a very positive trends for us.
William Bremer - Maxim Group LLC: Okay. Great. Thank you.
José Ramón Mas - Chief Executive Officer & Director: Thank you, Bill.
Operator: We'll take our next question from Noelle Dilts with Stifel.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Thanks. Good morning.
José Ramón Mas - Chief Executive Officer & Director: Good morning, Noelle.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: I just wanted to get your thoughts on how to think about EBITDA margins as we head in the 2017? Do you think we're getting back to the point where you could achieve a double-digit EBITDA margin on a full-year basis? And could you touch, I guess, specifically on how you're thinking about Oil and Gas and then also, Transmission next year.
José Ramón Mas - Chief Executive Officer & Director: Sure. So, if you look at 2016, obviously, our Transmission business is a drag on us full year, obviously. We have a loss there. If you would actually back out the loss in the revenue of that business, the remaining business would be performing at a double-digit margin on a full-year basis. So, that's good. Obviously, we need to fix that business and get it back on track. Again, I mean, we're one quarter into what, we think, is going to be, obviously, the start of a really great run for us. I would expect across all of our segments for margins to improve, so, to the extent that we can get Transmission back in line to where it needs to be. And then, I would fully expect to be able to achieve double-digit margins.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Okay. Great. And then in terms of the Wireline work that you're doing, can you give us a sense – and also, the work that you're seeing out there on the Wireline side in terms of opportunity. Can you give us a sense of how many customers you're working for at this point? How you're thinking about that moving forward and the growth rate there?
José Ramón Mas - Chief Executive Officer & Director: Yeah. We're working for the same customers we've been working for. We've been in this business for a long time. I think we're, obviously, growing our relationships with a lot of our existing customer and thus, the growth in revenues. I don't think there's a new customer subset out there that we're working for particularly. It's a robust market. A lot is going to happen again. And, I think, we're in very early stages of what that market is going to mean to our business and to the industry in general. It's a very exciting time. There's lots of opportunities. There's lots of demands by our customers. And, I think, those that are able to position themselves and execute are going to benefit from it.
Noelle Dilts - Stifel, Nicolaus & Co., Inc.: Okay. Thank you.
José Ramón Mas - Chief Executive Officer & Director: Thank you, Noelle.
Operator: We'll take our next question from Alan Fleming with Citigroup.
Alan Fleming - Citigroup Global Markets, Inc. (Broker): Good morning, gentlemen. Congratulations on a nice quarter.
José Ramón Mas - Chief Executive Officer & Director: Thank you.
Alan Fleming - Citigroup Global Markets, Inc. (Broker): José, just given all the work that is out there for 2017 and even 2018, do you have the capacity that you either need or you want to execute and go after all this work or do you need to continue to invest to increase your capacity in Oil and Gas?
José Ramón Mas - Chief Executive Officer & Director: Look, we're expecting a 60% increase in the second half of 2016. If you back out the slowdown in Canada, we're actually doubling our U.S. business in the second half of 2016 versus where it was at in the second half of 2015. If you were to annualize that, it would obviously give you a number that is far greater than our full year revenue. So, we have the capacity and the capabilities of significant growth without significant investment.
Alan Fleming - Citigroup Global Markets, Inc. (Broker): Okay. That's helpful. And then, let me maybe switch gears and ask you about Transmission. I mean, it's the second quarter in a row of sequential uptick in backlog. It seems like maybe growth here is modestly turning in your favor. So, how much of this is kind of end markets getting a little bit better and firming up? And how much of this is, you guys are kind of refocused on the business and winning work after the investigation last year and you kind of have gotten things back on track?
José Ramón Mas - Chief Executive Officer & Director: Well, a couple of things. First, we've always been focused on this business. I think, we obviously had a tough period with lots of things going on. And the market is softer, there's no question about it. We've said all along, we need to rightsize our business and put ourselves in a position to be as successful as we can be. This is an important business for us. It's a business we're committed to in the long term. With that said, we do expect revenues to somewhat decline, right? I think we're working off some bigger projects. As we work them off, we think we're going to have a somewhat smaller base going into 2017 than we had in 2016. It's not dramatically different, but it will be smaller. I think we'll be better-suited for that size. We'll be right-sized to execute on that. And for us, the story in 2017 isn't going to be of whether we're at breakeven or not, but it's how profitable can we be. And that's really what we're focused on and trying to achieve.
Operator: And we'll move to our next question, Bobby Burleson with Canaccord.
Robert Joseph Burleson - Canaccord Genuity, Inc.: Yeah. Good morning.
José Ramón Mas - Chief Executive Officer & Director: Good morning.
Robert Joseph Burleson - Canaccord Genuity, Inc.: So, just curious on the Communications business. You're talking about some moderation in growth rates versus the first half here in the second half. Curious in terms of the sub-segments there, whether or not you expect mix to shift more to wireline and if you expect growth rates there to stay elevated versus wireless.
José Ramón Mas - Chief Executive Officer & Director: Yeah. Let me be clear, right? We grew at 26% in the second quarter. I think that that was above what our expectations were, growing 38% on our installation business, exceeded what we were expecting. So, as we look at the second half of 2016, I think we're moderating it. We do expect our wireless business to have higher percentage growth in the second half of the year than what they experienced in the first half of the year. It's what we've been saying all along from the beginning of the year. So, their growth rates will uptick. We expect double-digit growth across all of our sub-segments in that group in the second half. But I don't think we can model and plan 38% and 34% growth respectively for installation and wireline every quarter. We hope we're wrong and we hope we achieve it, but we've got a more moderate mid-teens growth rate assumed for our different businesses.
Robert Joseph Burleson - Canaccord Genuity, Inc.: Okay. Thanks. And then just quickly switching gears to Oil and Gas. Just curious, it sounds like you're taking a conservative approach to second half guidance in that business considering you expect your execution there to hold up. I'm wondering, was there a change in the methodology or the kind of attitude of guidance towards that business as you looked at the first half versus as you look at the second half? And is that something to do with the environment you're seeing in terms of maybe elsewhere seeing some project delays, things like that?
José Ramón Mas - Chief Executive Officer & Director: No. Look, I think we're coming off of a 2014 and a 2015 that were tough for our business for lots of reasons. We finished, again, we finished 2013 in a record year. We were hopeful for 2014. Some of the markets turned on us. We have not enjoyed where we've been at the last 24 months as a company, and where we've been at every time we're talking about guidance. And, I think, 2016 is really – the second quarter, particularly, is really a reset for us. We're extremely excited about what we expect to happen in the balance of the year. We've always said that we want to guide conservatively and be in a position to beat and exceed the expectations that are out there. We think that over a long period of time, we delivered on that. We understand that we had our issues over the last two years. But, I think, it's always how we have approached guidance and how we'll continue to approach guidance.
Robert Joseph Burleson - Canaccord Genuity, Inc.: Thank you and congratulations.
José Ramón Mas - Chief Executive Officer & Director: Thank you very much.
Operator: We'll take our next question from Dan Mannes with Avondale.
Daniel Mannes - Avondale Partners LLC: Thanks. Good morning, everyone.
José Ramón Mas - Chief Executive Officer & Director: Hey, good morning, Dan.
Daniel Mannes - Avondale Partners LLC: Hey, a couple of quick follow-ups, first, on the Communications segment, particularly on install to home. The 38% growth sounds tremendous. Can you maybe break that out a little bit between current territories, DIRECTV, any territory expansion and/or any kind of the new initiatives you have going on? Just trying to understand the strength there.
José Ramón Mas - Chief Executive Officer & Director: Well, We're not picking up any new territories in our DIRECTV markets. So, it all has to do with same-store sales growth in that business and then the results of our diversification efforts. I think it comes from both, obviously, I don't know that we want to get into breaking out those numbers in granular detail. But, I think, we have broad-based solid performance across both the work that we're doing with our existing customers, the growth in work that we're doing with customers that we've added over the course of the last year, and even some new customers that we've more recently added that are all helping that number.
Daniel Mannes - Avondale Partners LLC: Okay. Got it. And then, on the renewable side, given what we're seeing with the five-year PTC extension, it sounds like you're seeing a pretty good dialogue. Can you talk maybe about the potential there from a margin perspective? It's historically been one of your lowest margin businesses. Is there a potential, given the potential robust outlook, to see maybe a little bit more of attractive level and can you maybe scope that for us?
José Ramón Mas - Chief Executive Officer & Director: The short answer is yes. I think if you go back a number of years, it was more of a higher single-digit margin business. And, I think, if things play out in the market the way we hope they will, I think, getting back to that level is very achievable.
Daniel Mannes - Avondale Partners LLC: Great. Thank you.
José Ramón Mas - Chief Executive Officer & Director: Thank you, Dan.
Operator: We'll take our next question from Andy Wittmann with Baird.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Great. Thanks. I guess I just wanted to drill in a little bit into the pipeline opportunity as it relates to Mexico. Obviously, this is an area you guys have talked a lot about. We are starting to see announcements and press releases from players like TransCanada and others that are talking about doing those. José I was hoping you could give us an update on where your strategy is there and how well gestated those projects are? And when you feel like the market might see some of those final investments decisions being made?
José Ramón Mas - Chief Executive Officer & Director: Well, I think you just alluded to some, right? There's no question that people are making the investment decisions and people are going forward with projects. There were a couple of projects that were – there's definitely been a couple of projects in the first half of the year anyway that had been announced and that are going forward. Those are all opportunities for us. Quite frankly, we've been working on specific projects that are in different stages of development. And again, we feel good that ultimately those projects are going to come to fruition and we'll have a very solid opportunity to participate in those. I think they're coming. I think there has definitely been delays because of some of the issues that Pemex has had and some of the pivoting they've done in terms of creating these private partnerships and then selling off some of their assets and development jobs. And that's really why I think it's taken the amount of time it's taken, but I don't think the environment has changed the need for those projects or the desire for those projects. And, again, I think we're well positioned. So, I think it's coming. It's taken much longer than we would have hoped or anticipated. But I think we're in a great spot.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Okay. Well, then maybe a similar question on pipelines as we look at the level of permitting. Certainly, I think you're right you had the earlier comment that the projects that you've been on have moved, others have not. But as you look into your 2017, which looks strong, how well permitted are they? Are they in advanced stages of permitting where it's really a formality now or are there some real critical things that need to break your way for 2017 to happen, not from an economic standpoint, not from a customer discussion, but really from the regulators and the permitter?
José Ramón Mas - Chief Executive Officer & Director: Specifically, the 2017 projects, I think we're in great shape.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Okay. I'll leave it there. Thanks.
José Ramón Mas - Chief Executive Officer & Director: Thank you.
Operator: We'll go next to Chad Dillard with Deutsche Bank.
Chad Dillard - Deutsche Bank Securities, Inc.: Hi. good morning. How are you guys doing?
José Ramón Mas - Chief Executive Officer & Director: Hey, good morning.
Chad Dillard - Deutsche Bank Securities, Inc.: So, can you just talk about whether you're starting to see sustained activity in 5G and just talk about how you see this ramp playing out relative to 4G. Any color on size, duration would be helpful. Then also, what sort of operational changes will be needed at MasTec to support the rollout?
José Ramón Mas - Chief Executive Officer & Director: So, I think levels of 5G currently are insignificant because, I think, it's way too early. I think carriers are still trying to determine what it's going to ultimately be. They've all talked about really sticking their toe in the water currently or even into 2017 with a lot of initial work. We think we might see some acceleration into that. We actually expect some nice momentum in 2017 related to some of that initiative. But it's definitely an initiative that's going to play out a lot more in the 2018, 2019, 2020 timeframe. Again, one of the interesting points is, I still think, we don't know exactly what that's going to look like because there's so many different types of technology being talked about and types of rollout being talked about. Again, we think, we're well situated for all of them. We've been in this market for a long time. We touch a number of, the fact that we work on electrical lines and have the ability to really have a robust offering around small cells because of our different service offerings across our company. Those are real competitive advantages that we have. And, I think, we're tooled to offer it and, I think, we're in a great position to roll out. I think in terms of size, scale and what it means, I think, time will tell. But we, obviously, are pretty bullish about it and think it's going to be pretty significant for our purposes.
Chad Dillard - Deutsche Bank Securities, Inc.: Thanks. That's helpful. And then just moving over to operating cash flow, can you just talk about how to think about that? And just like the working capital needs for the balance of 2016 as you're ramping a lot in the back half. And then also, separately, can you just talk about how you're thinking about your leverage targets and at what point will you look to change your capital allocation plans?
George L. Pita - Chief Financial Officer & Executive Vice President: Sure. We've – this is George. We've talked about that for the year of 2016. We're going to invest in working capital obviously with our growth. However, that being the case, we think we're going to generate cash that will be available for either deleveraging or share repurchase, et cetera. So, I think we would expect improved cash flow in the second half of the year. That'll probably happen closer to the fourth quarter because, sequentially, our revenues will decline. Based on the numbers that we're modeling, we see a slight decline absent share repurchase or M&A or something along those lines we'd see a slight decline in overall debt levels by year end. And that coupled with the significant increase in EBITDA puts you well south of our historical leverage metrics and south of a two-and-a-half leverage target. That's what we see happening right now in terms of the amounts. Our DSOs and our working capital metrics have been very well managed during this process. We expect that to continue for the balance of the year. So, we're very comfortable with where we are in our capital structure and think that we're going to end 2016 in excellent shape.
Chad Dillard - Deutsche Bank Securities, Inc.: Thanks, guys. I'll leave it there.
José Ramón Mas - Chief Executive Officer & Director: Thank you.
Operator: And with no further questions in the queue, I'd like to turn the call back over to José Mas for any additional or closing remarks.
José Ramón Mas - Chief Executive Officer & Director: Sure. Again, we just want to thank everybody for participating today and their interest in MasTec. And we look forward to updating everybody on our third quarter call on the coming months. Thank you.
Operator: And that does conclude today's conference. Thank you for your participation and you may now disconnect.